Operator: Ladies and gentlemen, thank you for standing by and welcome to the World Fuel Services 2018 Third Quarter Earnings Conference Call. My name is Jose and I will be coordinating the call this evening. During the presentation, all participants will be in a listen-only mode. After the speakers' remarks, there will be a question-and-answer session. Instructions on how to ask a question will be given at the beginning of the Q&A session. [Operator Instructions]. As a reminder, this conference is being recorded. And I would now like to turn the conference over to Mr. Glenn Klevitz, World Fuel's Vice President, Treasurer and Investor Relations. Mr. Klevitz, you may begin your conference.
Glenn Klevitz: Thank you, Jose. Good evening everyone and welcome to the World Fuel Services third quarter 2018 earnings conference call. I am Glenn Klevitz and I will be doing the introductions on this evening's call, alongside our live slide presentation. This call is also available via webcast. To access this webcast or future webcasts, please visit the website and click on the webcast icon. With us on the call today are Michael Kasbar, Chairman and Chief Executive Officer; and Ira Birns, Executive Vice President and Chief Financial Officer. By now, you should have all received a copy of our earnings release. If not, you can access the release on our website. Before we get started, I would like to review World Fuel's Safe Harbor Statement. Certain statements made today, including comments about World Fuel's expectations regarding future plans and performance are forward-looking statements that are subject to a range of uncertainties and risks that could cause World Fuel's actual results to materially differ from the forward-looking information. A description of the risk factors that could cause results to materially differ from these projections can be found on World Fuel's most recent Form 10-K and other reports filed with the Securities and Exchange Commission. World Fuel assumes no obligation to revise or publicly release the results of any revisions to these forward-looking statements in light of new information or future events. This presentation also includes certain non-GAAP financial measures as defined in Regulation G. A reconciliation of these non-GAAP financial measures to their most directly comparable GAAP financial measures is included in World Fuel's press release and can be found on its website. We will begin with several minutes of prepared remarks, which will then be followed by a question-and-answer period. As with prior conference calls we ask that members of the media and individual private investors on the line participate in listen-only mode. At this time, I would like to introduce our Chairman and Chief Executive Officer, Michael Kasbar.
Michael Kasbar: Thank you Glen and good afternoon everyone and thank you for joining us today. As I've said over the last few quarters we continue to focus on three pillars driving our value creation strategy. Institutionalizing and continuous cost management culture, sharpening our portfolio to ensure that we're allocating our capital and talent to develop durable profit streams that generate returns in excess of our cross capital and achieving aggressive organic growth. The results that I will be sharing today will attest to the focus and commitment we've had to these core drivers and our continued commitment to them. I'll pass the call over to Ira to walk us through the financials and then I'll share some additional insights before we begin our Q&A session.
Ira Birns: Thank you Mike and good evening, everyone. Our business performed very well in the third quarter posting record results in our aviation segment and our highest level of profitability in our marine segment nearly three years resulting in consolidated and adjusted EBITDA of more than $100 million for the first time. Adjusted net income was $42.5 million in the third quarter up$1.6 million or 4% when compared to the third quarter of 2017 and adjusted diluted earnings per share with $0.63 in the third quarter, up $0.03 or 5% compared to the third quarter of last year. Consolidated revenue for the third quarter was $10.4 billion. That's up $1.9 billion or 22% compared to the third quarter of 2017 again this was principally due to the significant year-over-year increase in fuel prices. WTI which reached the highest $74 per barrel during the third quarter average $70 per barrel for the quarter an increase of $22 or 45% year-over-year. The pricing impacts were offset impart by lower volume in both the marine and land segments. For the quarter our aviation segment volume was up approximately 30 million gallons or 2% year-over-year to 2.1 billion gallons. Solid volume growth in our international fueling operations principally in Europe drove the positive year-over-year volume growth. Volume in our marine segment for the third quarter was 6 million metric tons down approximately 850,000 metric tons or 13% year-over-year principally due to discontinuing certain low margin activities during 2018. Sequentially margin segment volume increased approximately 100,000 metric tons representing a sequential volume increase for the second straight quarter. Our land segment volume was 1.3 billion gallons during the third quarter down approximately 150 million gallons or 10% compared to the third quarter of 2017. The decline in land segment volume was principally related to our decision to reduce non-core, low margin supply and trading activities in North America. This decline in volume was partially offset by continued growth in our Connect global energy services platform. Total consolidated volume in the third quarter was 5 billion gallons a decrease of approximately 350 million or 7% year-over-year. Before I continue with the core financial review, please note that the following figures exclude $5.5 million of pre-tax non-operational expenses in the third quarter as well as non-operational items in periods previously reported as highlighted in our earnings release. The non-operational expenses are principally comprised to severance cost relating to our ongoing restructuring activities. To assist all of you in reconciling results published in our earnings release and 10Q, the breakdown of $5.5 million of non-operational expenses to be found in our website on the last side of the webcast presentation. Consolidated gross profit for the third quarter was a record $267 million, an increase of $27 million or 11% compared to the third quarter of 2017. Our aviation segment contributed a record $141 million gross profit in the third quarter, an increase of $17 million or 14% compared to the third quarter of the previous year. year-over-year the increase in aviation gross profit was principally the result of continued strength in our government related activity, growth in international fuel sales including activity related to previously acquired locations and the negative impact of the disruption caused by Hurricanes Harvey and Irma in the third quarter of 2017. As we look to the fourth quarter, we expect the traditional seasonal decline coming off the strong third quarter. Our marine segment generated third quarter gross profit of $43 million, that's an increase of $13 million or 41% year-over-year representing the highest level of marine gross profit in a single quarter since 2015. The significant year-over-year gross profit increase was principally related to stronger margins driven by the sharp rise in bunker fuel prices and an increasingly constrained credit environment which further enhances the value of our business model. Additionally, we benefited from certain higher margin seasonal business during the third quarter. Looking ahead to the fourth quarter, we expect marine results to decline driven principally by the drop off in seasonal activity. Therefore we anticipate our marine results in the fourth quarter that would be in line with, with somewhat better than our second quarter results. Our land segment delivered gross profit of $83 million in the third quarter a decrease of $2 million or 3% year-over-year. The decline was principally driven by unseasonably warm and dry weather in the UK which had a significant impact on profitability related to agricultural customers who utilize gas oil to dry their crops. As well as continued weakness in Brazil. The year-over-year decline was offset in part by increased activity in connect. We experienced solid performance from our multi-service payment solutions business during the quarter as well. This business generated $17.5 million of gross profits in the third quarter an increase of 12% compared to the third quarter of last year. Looking ahead assuming seasonal weather patterns hold up, we expect meaningful sequential growth in our land segment in the fourth quarter. Operating expenses in the third quarter excluding the provision for bad debt and non-operational items were $180 million which was up $3 million excluding the impact of acquisitions when compared to the third quarter of last year and flat sequentially. Through the first three quarters of the year, operating expenses excluding bad debt and non-operational items as a percentage of gross profit was 71.2% compared to 74.1% in 2017. Representing a 290 basis point year-over-year improvement already exceeding the 250 basis point goal shared earlier this year. Demonstrating our continued commitment to improving operating leverage across our business. We remain committed to driving further efficiencies in our business model which will service well as we position ourselves for future growth. In the fourth quarter, we expect operating expenses excluding bad debt and non-operational items to be in the range of $175 million to $180 million. Consolidated income from operations in the third quarter was $84 million, that's up $20 million or 31% year-over-year. Again reflecting solid gross profit performance as well as the continuing benefit of cost saving initiatives already completed. Adjusted EBITDA was a record $104 million in the third quarter up $20 million or 23% from the third quarter of 2017. Trailing 12-month EBITDA increased to $331 million up $20 million as well or 6% from trailing 12-month EBITDA in the second quarter. We continue to believe that this is an important metric, in part because it is the principal driver of availability under our credit agreement and organization remains focused on driving improving EBITDA through our three pillar strategy of driving continuous cost management culture, sharpening our portfolio and aggressive organic growth. In light of the complexities brought about tax reform and the additional guidance which continues to be issued by taxing authorities. We are reviewing potential operating and structural changes to best address such complexities and stabilize our effective tax rate. Meanwhile we believe EBITDA is terminally the best measure of our performance. Non-operating expenses which is principally comprised of interest expense and finance charges associated with our receivable purchase agreements for the third quarter were $16 million. This represents an increase of $600,000 compared to the third quarter of 2017. Principally related to higher average interest rates year-over-year. I would assume interest expense to be in the range $17 million to $19 million for the fourth quarter. I've already referred to tax reform and I'll refer to it again. It has resulted in an effective tax rate of 36% in the third quarter, up sequentially and up significantly from the third quarter of last year. This rated higher than forecast driven principally by higher than expected earned profits which continues to penalize us in a post-tax reform world. We continue to focus on opportunities which allow us to bring our effective rate down overtime or we do not expect any meaningful reduction in the near term. Therefore for the fourth quarter, we expect our effective tax rate will be in the range of 34% to 36% excluding the impact of any potential discrete items. As we look towards 2019, we believe we have opportunities to reduce our effective tax rate below 30% for the full year. Our total accounts receivable balance was $3.1 billion at quarter end. An increase of approximately $529 million year-over-year driven by higher fuel prices. We generated cash flow from operating activities of $28 million in the third quarter excluding the impact of change in classification of $116 million of cash proceeds received from the beneficial interest and receivable sold from cash flow from operating activities to cash flow from investing activities due to an accounting standard adopted earlier this year. Late in the third quarter, we amended our receivable sales facility which should reduce the impact of such accounting standard in the fourth quarter and likely eliminate such impact entirely by the first quarter of 2019. In the end, despite a significant increase in fuel prices during the quarter we did a good job managing working capital contributing through a reduction of net debt to adjusted EBITDA to 1.8 times. Lastly, we repurchase $20 million of our common stock during the quarter reiterating our commitment to returning additional value to our shareholders. In closing, our business performed very well in the third quarter. Highlighted by record profitability in our aviation segment and better than expected results in our marine segment. We generated record adjusted EBITDA of more than $100 million during the quarter driven by record gross profit as well as continued focus on cost management. Our commitment to driving further efficiencies in our business model is evidenced by 290 basis point improvement in operating leverage versus our shared target of 250 basis points at the beginning of the year. Lastly, as we continue to focus on operating efficiencies, portfolio refinement and growth initiatives. We believe we're well positioned for growth in 2019 and beyond. I will now turn the call back over to Mr. Kasbar for additional commentary.
Michael Kasbar: Thank you Ira. As I alluded in my opening remarks. We are focused on rationalizing our portfolio of businesses in order to shift more of our capital and talent towards businesses that produce more predictable and sustainable profit streams. We were also focused on leveraging our global platforms to drive increased customer penetration and accelerated customer acquisition both of which translate into organic profit growth. Our commitment to continuous cost management is aimed at ensuring that a higher proportion of our organic growth flows through to earnings resulting in improved operating leverage. Our third quarter performance was further evidenced that we're successfully executing in all three fronts. Our aviation segment produced record gross profit and operating income in the quarter supported by organic growth driven by the continuing expansion of our global supply network. Our aviation team has done an excellent job of leveraging the assets we acquired in early 2017 to enhance our supply capabilities to our existing customer base as well as building upon these assets to further expand our footprint to an addition 17 new airport locations, increasing our ability to bring value to perspective customers and enabling further organic growth. Moreover we continue to widen our portfolio of service offerings to the aviation market as a complementary fuel supply to the extent that services in the third quarter constituted 20% of our total aviation gross profit. Our margin business performed well following rigorous management of cost which drove our OpEx ratio from 86% to 66%. We sharpened our portfolio of market segments and locations which enhanced margins and we expanded physical operations which are reaching critical mass and driving organic growth. Our land business experienced an improvement in operations in North America largely due to cost management and gains in our commercial and industrial businesses APP and PAPCO offset by one of the hottest and driest summers on record in the UK as Ira previously mentioned and recessionary pressures in Brazil. In North America, we continue to execute in our delivered strategy to exit certain non-core and trading activities that are dependent on market structure to generate profitability and favor of investments in supply we're current [indiscernible] end user demand that also improves returns. Connect energy group our expanded global gas and power energy management business recorded its second consecutive profitable quarter compared to a small loss in a prior year, we view Connect as a key length between our legacy liquid fuels business in our gas and power business to bring a comprehensive set of integrated energy management solutions to a global customer base and expanding global customer base. Connect now has established a track record of profitability and is well positioned to increase its contribution to earnings in 2019 and beyond. Our multi-service Fintech business remains on track to generate double-digit growth in both gross profit and operating income for 2018. They expanded their offering to cater to a broader customer base we're optimistic that multi-service can continue to growth at a similar pace course of the next several years. We continue to believe that the strength of World Fuel Services lies in the diversity of our end markets and the commonality of our offerings. Culturally our commercial agility has and will continue to be a competitive differentiator in a changing marketplace. Above all, our customers value our response to this, to their unique requirements and we pride ourselves in our ingenuity in meeting their needs and our financial stability to be their counter party of choice. I truly have the owner of working alongside over 5,000 talented and dedicated professionals. I'm impressed with and grateful for their deep commitment to World Fuel Services and its stakeholders and I'm humbled by the important role we have in facilitating global commerce. I'd also like to thank our long-term shareholders for their continuing support. Operator, if you can please open the line for questions.
Operator: [Operator Instructions] and our first question comes from line of Ben Nolan from Stifel. Please proceed with your question.
Ben Nolan: So my first question has to do with the marine business obviously. That one was bit of a surprise on the outside at least to me and I know that you've said that there's high grading of the customer base and improvable demand. Wondering if Michael you are yet seeing any maybe flow through the IMO 2020 regulations. Are people looking to hedge is that having an impact or you know are more people focused on working with you guys instead of going straight to the suppliers or just curios whether that's helping to contribute to the improvement there?
Michael Kasbar: Well I wouldn't say that there is any particular impact on this quarter's results relative to IMO 2020 that I think that I'm going take all the credit for our team. John [indiscernible] and all the rest of the marine team I think gets all the credit for this quarter's results. Obviously higher prices little bit of credit constraint, balance sheet constraint that was a function of cost management that we benefited from and being rather selective in the marketplace. In terms of IMO 2020, there's certainly a lot of talk, certainly folks have some of made their decisions in terms of exhaust gas scrubbers, there's been it's obviously the topic [indiscernible] not only in the marine world, but just you're seeing it everywhere. Some folks are taking hedging positions, but that is the minority for sure and everyone is trying to figure out what they're going to do, some are just going to go straight to distil it. You certainly have some issues relative to the availability of high sulphur fuel oil, the supply and logistics, the compatibility. So it's going to be definitely a different type of market. Certainly that will benefit us from a perspective of the expertise that we bring in terms of sourcing different qualities of fuels and making sure that it's available. So it's going to be a bit more work for the marine team without question, but it's right up our ally and we're well positioned for it. I don't know want to over blow what the impact is going to be because there is going to be some risk out there as well. We're prepared as I've said before, whatever it maybe. Whether it's distilled, certainly we benefit from our land position. We understand the technical aspects of it and the logistics aspects of it, but we're not really seeing a whole lot of impact now. It's a little bit premature.
Ben Nolan: Okay and then just switching gears a little bit to the land segment. That one seems like it's still at least in some areas kind of the most in terms of work in progress. We're curious though I know that you're incubating a few projects specifically things like the Connect business. And I think early you said that, in that particular business had finally gotten to the point where we're starting to generate a little bit of profitability. I'm curious as we look out in 2019, is are things like better that business in particular. How important could they be and sort of improving the margins of the business or is it possible to maybe frame in how much gross profit or something like that might be able to throw off for you guys.
Michael Kasbar: So I'll just make sort of a general comment here on land to try to give a little bit of color. It's pretty much an aggregation of a number of different businesses. Brazil is its own story, you got complexity there simply because of everything that's going on there. We are rationalizing that as we've been rationalizing a lot of the activity within land. UK is somewhat whether implicated or constrained we've got improved execution there. So those areas have their own sort of dynamics. Within North America, as I - commented on there's been material cost take out we've got improvements in our C&I, our commercial and industrial business. Those are doing well PAPCO is rebounding coming back from just the change in the trade flows and the supply flows there. We've rationalized the some of the supply and trading that's cost us a little bit of gross profit there, but giving us improved return. So that was a sensible thing to do. We've been existing small business even though they're okay, really just trying to focus the energy on businesses that we're going to scale. Where if the last sort of tranches of existing our preferred supplier program as I think we commented in previous calls. Connect is interesting. I think we're looking at 20% of gross profit this year and we're optimistic. It's small. Mainly we talked about these things because they're distinct but we think being involved in gas and power is a sensible thing. It brings us an interesting commercial and industrial client there. Multi-service is doing well. You know they've changed their program to go after large, small or medium-sized business. So we're optimistic. I mean we've got a more aggressive outlook for land in 2019. We conglomerated a bunch of different businesses and we haven't done the best job in terms of creating platforms there in the same way that we have done in aviation. So you need to have that then that's going together. We're not firing all of the cylinders there, but we do see that as a part of the future program and it is coming together, it is taking longer than we would have liked.
Ben Nolan: Okay, now that's helpful. I appreciated. I turn it over. Used my two questions. Thanks guys]
Operator: And our next question comes from the land of Ken Hoexter from Merrill Lynch. Please proceed with your question.
Ken Hoexter: If Michael, if I could just kind of I'll guess I'll take Ben's follow-up question before I ask a question but on the land side. You mentioned eliminating some non-core trading. I just want to understand maybe if you could give us percentages I've asked this on prior calls for different parts of the business, but what percent of the land is now providing fuel to gas stations. You mentioned the 12% that goes to the card 20% is Connect. So just wondering, what is the simple business of providing fuel to gas station and then what is left in trading still that you can still look to eliminate?
Michael Kasbar: Trading it is a wholesale business. Wholesale business is not a bad thing to have, as long as you've got it sized appropriately. The non-rateability of it obviously is not something that fits within our quarter-by-quarter results and you can get varying degrees of return. So we've opted to reduce that significantly. So we've done that, so we still have some of it. So that was sum of what the rationalization of the portfolio is. The core pieces of North America is the wholesale distribution to gas stations, that's about 25% of our gross profit in North America and then the other part of that is our commercial and industrial business where we're delivering by truck and tank wagon to our customer's we're delivering it into whatever commercial, laundries, you name it aggregate companies and that's our commercial and industrial business and that's the other sizable part of that North American business activity.
Ken Hoexter: So those, is that another 25%.
Ira Birns: Yes, Ken its Ira. Retail is about 25% of our global GP in land and then you got the 20% that Mike referred to earlier in Connect. You've got multi-service which rolls up into land and that's about another 20% odd percent and then the rest of it, sprinkle around. We have our commercial, industrial business which is a little lower than that because it's a fairly new business for us and we've got a little bit of GP coming through in Brazil and then the rest is in the UK. We can give you the more detail percentages if you want.
Ken Hoexter: No that's helpful that just describes kind of the what you're focused on right the 40%, 50% that's in the distribution and C&I and then you have the other kind of sub core, so that it's interesting to see that split. So just on the cost cutting side, I guess that's my question on the - you mentioned the program is done but then Michael kind of sprinkled in on the land that there may still be more kind of rationalization to go. So how do you think about this, this is just - Ira you mentioned the 290 basis point improvement. Are we done with the cost cutting focus portion of that overall or is there still more focus on pulling cost out and creating even further efficiencies?
Ira Birns: I don't think we'll ever be done, as we point in the concept of continuous cost management. I think our principal former programs. There's been three are essentially completed some of those cost savings benefits won't be achieved until maybe the first half of 2019, but we're continuing to look for more opportunities. But we're continuing to look for more opportunities. If you look at our cost ratios, we've done a phenomenal job of improving the marine cost ratio as Mike alluded to aviations cost structures and is in pretty good shape. We still have more work to, in land and a lot of work that we did this year is in the corporate side of the house where a very significant portion of that has been done. We're always seeking out additional opportunities. Mike doing this like migrating to the cloud as part of our IT infrastructure is going to generate savings for us overtime and there are lots of other areas on the IT side, I've restructured my finance organization this year, which is reducing the cost of that 600 plus person organization worldwide. So we've got lot going on and we're continuing to focus on it. But I would say, most of the low hanging fruit, where all of low hanging fruit is behind us. But that doesn't mean we're not going to continue try to find ways to be more efficient and drive that cost ratio lower. You remember our operating margin was 23% last year, we told everyone we're going to try to get up to 25.5% this year and 28% by next year. I would say we're little bit ahead of schedule in getting closer and closer to that target of 28% versus the 23% last year. So there's a lot more heavy lifting to do, but we made a significant amount of progress already.
Ken Hoexter: And Ira, just I guess my last one on marine. You kind of mentioned the ramp up in volumes and demand. Is that changing how you address the business or is the business was it just rebounding operations. Maybe you can just dig into your thoughts on that.
Ira Birns: I think the message on marine it's not a big volume story. Our volumes are actually down year-over-year. The guys have done a great job moving away from some business that probably didn't make a whole lot of sense for us in the first place businesses that require a lot of working capital and generate a very low returns. So we've done a nice job and the core business has recently benefited from the sharply rising price environment. We've always talked about marine having a much higher correlation of margin to price because it's principally a spot, a business as opposed to aviation which is more contract oriented which provides us opportunities overtime as prices increase and we saw a lot more that this quarter than we've seen in a very long time. How sustainable that is, it's yet to be seen and then again to, Ken's question again [indiscernible] closer to 2020. So I would say we've more optimism in marine today than we did six months ago. The team did a great job in right sizing the cost structure and now we're taking advantage of more opportunities in the marketplace with a much lower capital investments or return on capital in that business has improve substantially year-over-year so hopefully that answers your question.
Ken Hoexter: No it does, I definitely saw that the volume is down 12%, but the gross profit per ton up almost 60%, so I was just asking if that was a shift in customer strategy or in terms of the winds or if it's - but you just mentioned it's more the moves with spot. So does that concern you as crude rolls over a little bit or have you shifted that business a bit?
Ira Birns: No whether the price is moving up, pricing is moving down. It's not a very swift move in terms of the impact on margins. Price has been going off for quite a while and it took a while for us to see the increase because they drop down to where they were a year ago overnight probably not, they'll move around a bit subject to price. Crude prices as you've noted come down a little bit but not enough to make a massive difference. So early part of the fourth quarter we're seeing margins, a little bit lower than where they were in the third quarter, but not materially lower and that's why we made the statements about where we expect the fourth quarter to come out.
Ken Hoexter: Great. Appreciate the time and thoughts. Thanks guys.
Operator: And Mr. Kasbar there is no further question at this time. I will now turn the call back to you for closing remarks.
Michael Kasbar: Okay well. Thanks very much to all the shareholders on the phone. Appreciate the support and thank you to all of my colleagues and all of our colleagues around the world. For all the hard work you do every day. It's a pleasure working here and let's keep doing it, so thanks very much everybody and we'll see you next quarter.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation. And this time you can disconnect your line.